Operator: Good day. My name is Sarah and I'll be your operator this morning. I would like to welcome everyone to the Garrett Motion Second Quarter Financial Results Conference Call. This call is being recorded and a replay will be available later today. After the company's presentation, there will be a Q&A session. I would now like to hand the call over to Eric Birge, Garrett's Head of Investor Relations.
Eric Birge: Thank you, Sarah. Good morning and welcome everyone. Thank you for attending the Garrett Motion second quarter financial results conference call. Before we begin, I would like to mention that today's presentation and earnings release are available on the IR section of the Garrett Motion website at investors.garrettmotion.com. There will also find links for the SEC filings, along with other important information about our company. Turning to Slide 2. We note that this presentation contains forward-looking statements within the meanings of the Securities Exchange Act. We encourage you to read the risk factors that are contained in our filings under the Securities Exchange Commission become aware of the risks and uncertainties in our business and understand that forward-looking statements are estimates of the future performance and should be taken as such. The forward-looking statements represent management's expectations only as of today and the company disclaims any obligation to update them. Today's presentation also includes non-GAAP measures to describe how we manage and operate our business. We reconcile each of these measures to the most directly comparable GAAP measure and you're encouraged to examine these reconciliations in the appendix of the press release and the slide presentation. Also in today's presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline by using the terms diesel and gasoline only. With us on today's call is Olivier Rabiller; Garrett's President and Chief Executive Officer; and Sean Deason; Garrett's Senior Vice President and Chief Financial Officer. I will now hand the call over to Olivier.
Olivier Rabiller: Thanks, Eric. And thanks everyone for joining Garrett's second quarter earnings conference call. I will begin my remarks on Slide number 3. I first want to thank the entire Garrett team for delivering a very strong quarter through continuous focus on operational excellence and execution that allowed us to outperform across all key financial metrics. In Q2, 2023, we delivered net sales of a little more than $1 billion, up 18% on a reported basis and up 19% on a constant currency basis. This revenue growth was driven by the ramp up of new products restocking by many OEMs in both Europe and North America and the end of COVID restrictions in China when compared to last year. Adjusted EBITDA, this quarter was $170 million versus $138 million in the same period last year. Our significantly higher volumes coupled with continued operational performance gave a boost to our adjusted EBITDA margin of 16.8% up from 16.1% in Q2 of last year. All these factors enabled us to finish the quarter with an adjusted free cash flow of $140 million, up from $23 million in the same quarter of the year prior an extremely strong performance driven by favorable working capital as we successfully converted Q2 revenue growth into cash. This once again highlights the benefits of our unique low working capital needs that unable Garrett to convert quickly in cash an increase in revenue. During the quarter, we also successfully executed our capital structure transformation, which resulted in one class of common shares, as you may recall, we began that journey last year when we redeem all Series shares in full and then began settling the dividend on the Series A in cash. The final step in this transformation was completed in Q2 when we converted all Series A shares in common shares. As part of this, we also agreed to repurchase $570 million of Series A shares before the conversion funded by a new $700 million Term Loan B. All of this has brought our market cap to about $2 billion and has increased the market liquidity of our common share by about five times. At the same time, the company also increased its existing share repurchase authorization to $250 million as an additional lever to strip out the stock after the conversion took place and as of July 25, we have already repurchased a total of $80 million of common shares. The second quarter was not only marked by a very strong financial performance and the solidification of our capital structure as we also secured our second pre-development contract for ICE PDE traction system and the first pre-development contract for our innovative E-Cooling compressor. We will get into more details regarding this on the next slide. Now based on the performance of the business in the first half, we are again raising our outlook for the full year, which Sean will take you through in more details later in the presentation. Considering the strong cash generation, we achieved in Q2. We have also made the decision to repay $200 million of debt in Q3, a strong first step in delivering toward our target net leverage ratio of two times. Turning now to Slide 4. During the quarter, we were awarded two new programs for our E-Compressor, a technology that combines our expertise in air compression and high-speed electric motors. Both will be sitting on hybrid powertrain for major European OEMs. For our online weight business, we won two new programs, establishing a new position with a major truck maker in China. This is supporting our growth in commercial vehicles, which is a very important part of our business. And we also remain on track to launch our first off-highway hydrogen ICE application that we previously announced. Moving to our zero-emission offering and as mentioned earlier, we continue to build momentum and add another successful quarter with the award of our second pre-development contract for our high-speed high power density E-Powertrain. This again demonstrates the accelerating interest of our customers in our differentiated electric technology solutions. In addition, during the second quarter, our investments in zero emission technologies continue to show success. I'm very pleased to announce that we won our first predevelopment for our high performance E-Cooling compressor which provides a differentiated solution for electric vehicle thermal management. This product leverages our expertise in high speed electric motors and controls. Combined with our industry-leading air compression capabilities to deliver a smaller packaging lighter weight and the higher cooling power needed by electric vehicles. This unique technology brings a step change in the cooling capacity of electric vehicles and provides a game-changing opportunity for OEs in the way they can cool electric powertrain, a key enabler for fast-charging and high continuous power use. This predevelopment wins are proof points that the technologies we develop for EVs are differentiated and needed by our customers in order to meet the challenges of the next generation of zero emission vehicle. With these awards and our planned launch of 5 application of our Gen2 and Gen3 hydrogen fuel cell compressors, we remain committed to our target of $1 billion of annual sales of zero emission vehicle products by 2030 at or above the margin profile of our existing business. I will now turn things over to Sean that will provide more insight into our financial results.
Sean Deason: Thanks Olivier, and welcome everyone. I will begin my remarks on Slide 5. Looking at the upper left-hand graph, you will see reported net sales for the last 10 quarters with Q2, 2023 at just over $1 billion up from Q2 of 2022 by 18% on a GAAP basis and 19% on a constant currency basis. As previously mentioned by Olivier. This growth was driven by strong customer demand across key product lines and is the highest we've achieved in the last two years. Our regional sales breakdown continues to be stable with 49% of Q2 sales coming from Europe, 30% from Asia and 19% from North America. Looking at the upper right-hand side of the page. Q2, 2023 adjusted EBITDA of $170 million was up 23% from $138 million last year. The adjusted EBITDA margin in the period was 16.8% up from 16.1% primarily due to increased sales and operational execution as we continue to deliver productivity and pass through inflation. On the bottom left graph, you see that Garrett generated positive adjusted free cash flow of $140 million in Q2, 2023, up from $23 million in Q2 of 2022. Compared to last year this favorability is driven by increased revenues and less volatile customer demand as supply chains continue to stabilize driving a positive working capital contribution. Again, our free cash flow conversion to [technical difficulty] in an extremely volatile macro and demand environment. Our ability to execute operationally and flex our variable cost structure has enabled us to consistently deliver solid results. Turning to Slide 6. We show our Q2 net sales bridge by product category, as compared with the same period last year. All verticals improved compared to the prior year with gasoline products, up 34% at constant currency, adding $118 million in sales, gasoline products now comprise 45% of reported net sales versus 40% last year, driven by share of demand gains as new products have launched, and continue to ramp up. Combined with the end of COVID restrictions in China when compared to last year. Diesel products grew 9% in constant currency contributing an incremental $21 million to sales compared to the prior year. Overall diesel now comprises 26% of sales. Commercial vehicles grew 10% at constant currency, primarily driven by a more favorable product mix in North America and Europe from both on and off-highway platforms and represented 17% of total net sales. And lastly, our aftermarket business continues to perform growing 6% at constant currency over the last year and now comprises 11% of net sales. As mentioned earlier, we have seen growth across all verticals this quarter compared to the prior year. But as a percentage of total sales diesel commercial vehicle and aftermarket were all down slightly as strong share of demand gains drove significantly more growth in gasoline compared to these other verticals. Moving to Slide 7. We show our Q2 adjusted EBITDA bridge compared with the same period last year. Adjusted EBITDA of $170 million represented a $32 million improvement over the prior period increased sales accounted for $46 million, which was partially offset by the impact of unfavorable product mix, a smaller engine gasoline products continued to ramp up. Our overall operating performance was a net positive of $9 million as we continue to deliver productivity and pass through inflation while dedicating over 50% of our R&D expenditures to new technologies consistent with prior quarters. Our strong second quarter results reflect our significant operating momentum along with strong industry volume in key regions. We continue to monitor specific regional industry risks such as the ongoing UAW negotiations in North America and the effectiveness of potential economic stimulus in China. Turning to Slide 8, we show the adjusted EBITDA to adjusted free cash flow bridge for Q2, 2023. Garrett delivered strong adjusted free cash flow of $140 million in the quarter adjusted free cash flow in Q2 benefited from working capital as a source of $32 million as revenues improved and customer demand and supply chains continued to stabilize. As mentioned earlier, our free cash flow conversion to adjusted EBITDA averages approximately 60%, but it is higher when revenue is growing. Capital expenditures and cash taxes were in line with expectations for Q2 are expected to be higher in the second half and this is reflected in our updated full-year outlook I will discuss later. Cash interest increased to $14 million due to the issuance of our new $700 million term loan B. Overall, this is one of the best cash flow generation quarters in a volatile, but improving environment and allow Garrett to improve liquidity, which I will discuss in more detail on the next slide. Turning to Slide 9. I want to briefly walk through the changes to our share count in our capital structure that occurred in Q2. As illustrated in the chart on the upper left, you can see how we walk from our previous common market capitalization of almost $500 million in Q1 to a $2 billion market capitalization at the end of Q2 driven by the conversion of the Series A shares into common shares. Part of this transaction, we also repurchased $570 million of Series A shares and increased our share repurchase program, $250 million of which we had utilized $80 million as of July 25. We ended the quarter with only one class of equity outstanding totaling $264 million common shares. Moving to the table on the upper right. We ended Q2 with a strong liquidity position of just over $1 billion, comprised of $570 million of undrawn revolving credit facility capacity which we increased during Q2 by $95 million and $478 million of unrestricted cash, which increased $187 million sequentially driven by cash flow generation as discussed earlier. And the net inflows from the Term Loan B after executing the conversion of the Series A shares. Given the strong operating performance in Q2 and our increased outlook for 2023, which I will discuss on the next slide. We also plan to pay down our outstanding debt by $200 million. The first step towards achieving our target net leverage ratio of two times by the end of 2024. Moving now to Slide 10, our stronger volumes and robust operational performance are driving better than expected financial results year-to-date. As a result, we are updating our full year 2023 outlook to reflect the strength of our performance. On this slide, you can see the updated macro assumptions and financial ranges that imply the following at the midpoint. Net sales of $3.93 billion net sales growth at constant currency of 8%. Net income of $273 million, adjusted EBITDA of $645 million, implying a margin of 16.4% and net cash provided by operating activities of $460 million and adjusted free cash flow of $390 million, which reflects the expected better operational performance, partially offset by higher interest expense from the new Term Loan B. For greater detail I point you to the reconciliations of each of these metrics to the nearest GAAP figure as shown in the appendix of this presentation. Turning now to Slide 11. We bridge our prior year results to our updated outlook. Strong volume and revenue conversion are partially offset by unfavorable mix as revenue growth is mainly driven by share of demand gains as small gasoline engine applications continue to ramp up throughout 2023. We continue to work with our customers to pass through inflationary pressures and deliver productivity, while still investing in new technologies. We are also planning for a stronger euro versus the U.S. dollar at an exchange rate of 1.11 in the second half. In summary, our updated 2023 outlook reflect strong operational execution as we continue to grow from share of demand gains and convert revenue into earnings and cash flow in a volatile, but improving macroeconomic environment. I will now hand it back to Olivier for his closing remarks.
Olivier Rabiller: Thanks Sean. Wrapping up a summary of Q2 on Slide 11, we delivered the best quarterly revenue in two years and delivered on all key financial metrics. With our strong earnings and cash performance. We also completed the transformation of our capital structure with the conversion of our Series A shares into common shares, increasing our market cap to about $2 billion with five times the liquidity. And we now plan to pay down $200 million of debt in the third quarter. We also announced product wins in three areas of differentiated technology that are positioning us to be on the target for our $1 billion revenue from BEV technology zero emission vehicle technology by 2030. At higher average selling price and the same or better margins compared to our current business. As we continue to win new business, we are seeing that in the areas of turbos and zero-emission vehicle we are seeing the proof that our technology is needed by our customers. With the success we have had so far this year, we are raising the 2023 full year outlook as Sean stated to the following midpoints of net sales at $3.93 billion adjusted EBITDA of $645 million, adjusted free cash flow of $390 million. I am extremely pleased with the strong quarter we had, and I want to thank the entire Garrett team for their hard work and dedication that has been instrumental in achieving our goals. Now, I think we can turn to the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Hamed Khorsand with BWS Financial. Please go ahead.
Hamed Khorsand: Good morning. First question, I had was looking at your performance in Q2, which was great, but when you're looking at the guidance you're providing. If I just look at it from balance perspective, you're not really expecting much of a sequential increase in sales. So, I'm just wondering what your expectations are on that front. Is it really just product mix, because of gasoline that's resulting in sales not going up that much sequentially from here?
Olivier Rabiller: That's an excellent question. When you look at what we've said, and this is Olivier speaking when you look at what we said at the beginning of the year. And especially when we reported on our Q1 performance. We've explained that a significant part of our performance in Q1 and I think we are saying the same today is due to faster ramp up than anticipated on some of the key applications that we have won and that we are launching. Obviously, I mean the further you go, into the year, the more our forecast is close to our initial forecast, it's close to what we had initially forecasted. So, there is an element of that accelerated ramp-up that obviously doesn't continue to ramp up fiber. And then I would say we are like everyone monitoring the situation and what's happening around the world for the second half.
Hamed Khorsand: Okay. And in the product mix shift gasoline, it's obviously going to result in EBITDA margin being lower than what you've previously reported in prior years. Is this a permanent change in your margin profile or how do you adjust it to your backlog 17% EBITDA margin?
Sean Deason: So, I would say that you are seeing mixed dynamics quarter-to-quarter, but this should not detract from our long-term margin target and back. I believe it's spin, we had said we expected margins in a corridor of 17% to 19%, but that was under different macroeconomic circumstances. If you adjust for foreign exchange with the euro back closer to 120 which was where at the time and we adjust for commodities down to pricing, at that point in time you see actually that we're in that corridor. Additionally, there was a lot of concern that we would be able to win gasoline business and we have, and we've taken share of demand and we continue to have a win rate of greater than 50%. So long story short Hamed, we don't see this affecting the margin profile on a medium to long-term basis. Yes. It can affect as we launch products, the margin profile, quarter-to-quarter, but our gasoline business will be performing at the margins that we have said in the past.
Hamed Khorsand: Okay. And my other question was regarding zero-emissions you're winning a lot of deals here is that translating into any revenue or sales in this fiscal year or is this more of a '24 event?
Olivier Rabiller: What we're saying is that we are winning a lot of early developments. As you may remember in the automotive industry, you are usually on predevelopment. I mean I'm simplifying a bit for about two, three years before you get into development and then you go to production. So, I think it's back to what we said when we published our target of $1 billion by 2030. We are expecting a lot of these applications to launch between 2027, 2030. Obviously, we are already having revenue, although still small. On the fuel cell compressors because we already selling in production on fuel cell compressors and you will see a progressive boost on that, and then once we transform those very important predevelopment programs, into production. Obviously, it will, it will reach revenue. So that's a little bit to be time with the sequence of the way things are happening in our industry.
Hamed Khorsand: Okay, thank you.
Operator: This concludes our question-and-section. I would like to turn the conference back over to Olivier for any closing remarks.
Olivier Rabiller: Yes, so one more time. We had a fantastic quarter. I'm very proud of the results that we achieved. I'm very proud of the results that we are starting to see on all the three technologies that we pushed to address the challenges that are brought by zero emission vehicle and I would say, more to come. See you soon then.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.